Operator: Welcome to the Second Quarter 2018 Crocs Incorporated Earnings Conference Call. My name is Colin, and I will be your operator for today’s call. [Operator Instructions] Please note that this conference is being recorded. I will now turn the call over to Ms. Marisa Jacobs, Senior Director of Investor Relations for Crocs, Inc. Ms. Jacobs, you may begin.
Marisa Jacobs: Good morning, everyone, and thank you for joining us today for the Crocs second quarter 2018 earnings call. Earlier this morning, we announced our second quarter results and a copy of the press release can be found on our website at crocs.com. We would like to remind you that some of the information provided on this call is forward-looking and accordingly, is subject to the safe harbor provisions of the federal securities laws. These statements include, but are not limited to, statements regarding future revenues, gross margin, SG&A expenses, income from operations, adjusted EBITDA and our product pipeline. Crocs is not obligated to update these forward-looking statements to reflect the impact of future events. Adjusted EBITDA is a non-GAAP measure. A reconciliation of this amount to income from operations is contained in the Crocs investor presentation posted on our website. We caution you that all forward-looking statements are subject to risks and uncertainties, described in the Risk Factors section of our annual report on Form 10-K. Accordingly, actual results could differ materially from those described on this call. Please refer to Crocs annual report on Form 10-K as well as other documents filed with the SEC for more information relating to these risk factors. Joining us on the call today are Andrew Reese, President and Chief Executive Officer; and Carrie Teffner, Executive Vice President and Chief Financial Officer. Following their prepared remarks, we will open the call for your questions. At this time, I'll turn the call over to Andrew.
Andrew Reese: Thank you, Marisa and good morning everyone. Q2 was another strong quarter, with revenues up 4.7% even with significant reduction in our retail store fleet. Clogs and sandals performed well on LiteRide, our newest franchise, continue to exceed expectations, resulting in another quarter where we exceeded our revenue and gross margin guidance. Our brand continues to strengthen, as social media engagement grew and Crocs benefited from another quarter of increased PR coverage. At wholesale, we are seeing increased interest from new customers, who would like to add Crocs to their lineup, and our 11.8% DTC comp speaks to growing demand amongst existing consumers and those who are new to the brand. We feel very good about our Q2 results and we're well positioned for the back half of the year. As you saw in the earnings release, we issued earlier this morning, Carrie has announced her decision to leave Crocs on April 1 next year. In anticipation of her departure, we're excited to announce that Anne Mehlman will be joining us as our new EVP and CFO. Her experience as a CFO at Zappos as well as her prior experience at Crocs makes her a great choice. I want to thank Carrie for the contributions she has made to Crocs over the past three years. During that time, we have developed and pursued strategic priorities to put the company on a sound footing and position it for future Carrie was there every step of the way, providing tremendous leadership and counsel. I couldn't have asked for a better partner. When Anne joins us on August 24, Carrie will transition to EVP of finance and strategic projects until her departure, to ensure a smooth transition. With respect to our business update, we remain focused on creating great product, strengthening our brand and advancing our three strategic priorities. To drive sustainable, profitable revenue growth, improve the quality of our revenues, so that we generate annualized gross margins in the low 50s, and simplify our business to bring our annualized SG&A rate down to the low 40s as a percentage of revenues. This morning, I'll update you on the progress we are making on these strategic priorities and across our distribution channels. Carrie will then review our second quarter financial results and our latest guidance, and then, we will take your questions. As I mentioned, our first strategic priority is driving sustainable, profitable revenue growth by continuing to deliver great product and strengthening our brand desirability. With respect to product, in 2016, we narrowed our focus to molded footwear, with an emphasis on clogs and sandals. This was clearly the right decision. This product focus is driving meaningful growth. During the second quarter, we sold 17.8 million pairs of shoes, an increase of 2.4% over last year's second quarter, and we did this with a significantly smaller retail fleet. Our average selling price of footwear increased 2.2% to $18.05. Our clog revenues grew 11.4% and represented 52% of our footwear sales, up from 48.8% in last year's second quarter. Sales of our iconic Classic clog and Crocband clogs increased, driven by consumer demand for traditional colors along with new seasonal colors, graphics and on trend embellishments. Sales of CROCS AT WORK were also up, supported by new styles and more affective account management. We grew our clog revenues in every region. In North America, our great DTC results were helped in part by high school and college students purchasing Classic Clogs to wear at pre and post sporting events. We also continue to strengthen our brand in Europe, generating robust clog silhouette growth following significant reduction of our discount channel business. And in Asia, we're driving increased clog penetration as we continue to prioritize clogs over cut-and-sew product. Q2 is a key quarter for sandals and we performed well. Sandals grew 17.9%in the quarter generating 26.2% of our total footwear revenues and an increase of 300 basis points compared to last year’s second quarter. Asia and Europe showed the most meaningful growth while Americas was hampered by the late start to spring. Standouts for the quarter include our sports sandals Swiftwater and our women's Capri and Sanrah styles. Since we increased our focus on sandals, we’ve consistently experienced double digit growth in this silhouette, and we continue to be excited about the opportunity ahead. Our innovative new LiteRide collection, which launched in March, continues to exceed our expectations. To anyone new to the story, LiteRide combines a revolutionary new material with Croslite to produce an extremely lightweight shoe with a highly cushioned footbed and clean modern styling. The collection includes clogs, sandals and athletic silhouettes. During the second quarter, we expanded our wholesale distribution of the LiteRide collection in addition to featuring the entire collection on our own e-commerce sites and in-store. Just like last quarter, demand was very strong. With four months of the sales now under our belt, we are exceptionally pleased with the rollout. In fact, LiteRide has already become one of our top five franchises. And we see significant growth opportunity ahead. As we head into the back half of the year, we feel good about our Fall/Holiday 2018 collection. We have incorporated seasonally appropriate colors and graphics, including a new platform clog, which was launched last week. And while it’s still very early, we are pleased with the initial feedback from our wholesale accounts on our Spring/Summer 2019 collection. Our “Come As You Are” marketing campaign continues to raise the profile of our brand and drive demand for our product. Let me share some metrics with you. Interesting Crocs is accelerating and we continue to increase our digital footprint and attract more PR coverage. During the first week of June, the number of Google searches for Crocs hit a five-year high and has remained at elevated level since then. And when we launched our first Snapchat filter, over six million people used the Snapchat lens to see themselves in a giant Classic clog hat. Our online musical, featuring Drew Barrymore, is our most viewed content ever, and the second most widely viewed content Drew has ever posted. Our collaboration with A-Life, a highly regarded Street Wear Brand generated over 400 million PR impressions in just a few months. And from a financial perspective, our return on ad spend is up almost 50% year-to-date as we continue to refine our digital marketing capabilities. Come As You Are campaign is continuing to resonate with customers and consumers. It is brining heightened attention to the Crocs brand and boosting brand consideration. Our second strategic priority is to improve the quality of our revenues. Maintaining discipline around a gross margin goes hand-in hand with our drive to top line growth. Over the past two years, we have faced our unproductive product, cleaned up inventory in the channels and took a highly disciplined approach to promotions. We have delivered meaningful gross margin gains, including 110 basis point increase in Q2. With the significant improvements we have made on this front over the past two years, we expect future gains to be more modest. Our third strategic priority is to simplify our business so that we can operate more efficiently and reduce cost. We intend to bring on SG&A as a percentage of revenues down to the low 40s. We are on track to achieve this as we continue to execute against our SG&A reduction plan. A key component of our SG&A reduction plan was closing 160 stores between 2017 and 2018. We've done exactly that. During the quarter, we closed a net 27 stores and in the second quarter with 398 company operated stores. Outlets are most profitable format now represent over half of our store fleet, up from approximately 40% at the end of 2016, while our less profitable full price retail stores now represent about a third of our fleet, compared to over 40% at the end of 2016. Shopping shop and kiosk locations make up the balance. Although this transition is a headwind to our revenues and gross margin, it is contributing to our growing profitability as we eliminate unproductive SG&A. In May we announced that in connection with our ongoing efforts to simplify the business and improve profitability, we've closed our manufacturing facility in Mexico. In June we moved ahead with plans to close our manufacturing facility in Italy. When these closures are complete, we will outsource our entire production to third party manufacturers. I want to thank each of our Italian employees for their dedication and commitment. They are talented individuals whose contribution to the company since its earliest days has been greatly appreciated. Turning to our wholesale, e-commerce and retail distribution channels, I'm pleased with our ongoing progress. As we described in our last call, our wholesale channel is made up of eTail accounts, distributors and traditional brick and mortar accounts and in certain countries partner store operators. The business we do with e-tailers and distributors contributes approximately half of our wholesale revenues and we expect high single digits growth from this portion of our wholesale channel. We expect the brick-and-mortar accounts and our partner stores, which make up the other half of wholesale revenues to grow more modestly. During the second quarter, wholesale revenues increased by 7.2%. More wholesale doors carried Crocs and customers allocated more shelf space to our product than at the same time last year. A great example is ABC Mart in Japan, an important multi-brand retailer we began to work with last year in a limited number of doors. Since then ABC Mart has expanded the placement of Crocs into several hundred of their doors and more will be added next year. Turning to e-commerce, we had another outstanding quarter with revenues up 23.8%. Results were particularly strong in Asia where the fastest growing countries grew at 30% to 40% rates. We're benefiting from a highly successful digital marketing activities and the continued migration of consumers to online shopping. And since appointing a Global Head of e-Commerce and deepening our bench of local experts, we've delivered a more compelling online experience to our consumers, featured more product exclusives to our DCC channel and improved our conversion rates. In retail, we delivered a 7.1% comp. The right product, well-managed inventories, and energized salesforce totally focused on delivering a great customer experience, result in an outstanding quarter. Through the first half of 2018, we continued to make significant progress against our strategic priorities. Our Spring/Summer 2018 collection was a clear winner. And LiteRide significantly surpassed our expectations. Our marketing is delivering on two key objectives, elevating our brand positioning and increasing brand consideration to drive sales. We're growing our topline, improving the quality of our revenues and taking cost out of the business, ensure we're doing exactly what we committed to do. Looking ahead, we're optimistic about the future. We will continue to focus on multi-footwear, particularly clogs and sandals, which are the best reflection of Crocs DNA and have long-term growth potential. From a channel perspective, our digital business, whether embedded in our e-commerce or wholesale channels, is expected to drive robust growth. A reinvigorated network of well-placed, highly qualified distributors will bring Crocs to more people around the world. And lastly, our retail channel will benefit from the elimination of underperforming stores, as our remaining stores effective showcased our product and our brand. With a clear strategy in place, and a detail road map to follow, we have returned the company to top and bottom line growth and we are generating increase shareholder value. Looking ahead, we believe we're well positioned for continued success. I'll turn the call over to Carrie now and she will take you through our second quarter results, and discuss our guidance for the third quarter and full year of 2018.
Carrie Teffner: Thank you, Andrew. I appreciate the kind words. I joined Crocs fully aware this would be a challenge, but knowing that it would be also extremely rewarding. And I have not been disappointed. Thanks to all the fantastic people I've got into work with. The company is in a great place and I'm very confident that I'm leaving it in good hands. I've enjoyed getting to know many of you and I know you will enjoy getting to know Anne. Now let me review our second quarter results. Revenues were $328 million, up $14.8 million or 4.7% from a year ago and above our guidance of $315 million to $325 million. Store closures and business model changes reduced revenues by approximately $22 million, excluding the impact of those events, our revenues would have grown by approximately 12%, a clear sign of the underlying strength of our business. Currency positively impacted second quarter revenues by $7.7 million versus last year’s second quarter. The positive response to our Spring/Summer 2018 collection drove solid results across each of our distribution channels, as well as our geographic regions. Wholesale revenues grew 7.2% after experiencing strong sell-throughs on their initial Spring/Summer orders, customers placed additional filling orders to restock shelves and meet consumer demand. Looking at retail and e-commerce combined, our DTC comp was a positive 11.8%, our retail comp was 7.1% and comps were positive in every region. This was our fourth consecutive quarter of positive comps. We continue to close stores which accounts for the 8% decline in our global retail revenues. Specifically we operated 105 fewer stores during this year second quarter compared to the same period in 2017. Our e-commerce business grew 23.8% during the quarter, representing our fifth consecutive quarter of double-digit e-commerce growth, along with in-demand product and impactful marketing, we are benefiting from better execution. Improved in-stock levels contributed to higher conversion rates, and our use of increasingly sophisticated analytical tools is boosting the effectiveness of our digital marketing, which is translating into higher revenues. From our regional perspective the following revenues amounts are as reported. The Americas generated revenues of $137.8 million in the second quarter, an increase of 1.2% over last year’s second quarter, with outstanding results in the retail channel. Wholesale revenues in the second quarter declined 5.9%. Our results were impacted by three factors, in North America sandal reorders were muted due to the late start to Spring, and some orders which we expected to ship in Q2 did not ship until early Q3. In South America a number of countries experienced economic disruptions stemming from the significant depreciation of their respective currencies. Because we expect the currency situation to continue, this has been factored into our guidance for the remainder of the year. For America's DTC comp was a positive 10.4%, with great retail and e-commerce results evidencing robust consumer demand for our clogs and sandals. Our retail comp was positive 7.5%, up for the fifth quarter in a row. Total retail revenues grew 1.8%, despite having 15 fewer stores than in last year's second quarter. E-commerce revenues increased 17.1% due to higher site traffic and higher unit sales per transaction. Turning to Asia, second quarter revenues of $128.4 million increased 3%, compared to last year’s second quarter. This was a great result for Asia, given the significant store closures in the region. Currency favorably impacted the region by $4.7 million. Wholesale revenues increased 9.8% as we continue to gain traction across the region. Our Asia DTC comp was a positive 11.6%, our retail comp for Asia was a positive 2.9% driven by an increase in average selling prices, and units sold as we increased penetration of Built For Outlet product. Retail revenues declined 21.9% as a result of operating 67 fewer stores, compared to the second quarter of 2017. e-Commerce revenues increased 29.7% with particularly strong result in our key countries. In Europe, revenues grew 17.6% to $61.5 million over last year’s second quarter. We delivered terrific results across each distribution channel, reflecting the increasing popularity of our brand, better execution and great summer weather. Currency positively impacted the quarter by $3.1 million. Wholesale revenues grew 25.4% due to high demand for core product, an enthusiastic buy in LiteRide and notably stronger results with our European e-tail partners. Some customers have additional product in Q2 rather than waiting until Q3 to ensure availability into the fall. Our Europe DTC comp was a positive 18%. Our retail comp was a positive 16.4%, benefiting from heavy demand, as well as better availability of our Built For Outlet product. Our retail revenues decreased 7.6% due to operating 23 fewer stores. Our e-commerce business grew by 28.2% as we benefited from the strength of the collection, reduced promotional activities, and higher traffic driven to the site by more effective marketing. In terms of other items on our P&L, gross margin up 55.3% came in above guidance and 110 points above last year's 54.2% rate. We continued to benefit from the shift to molded product and from a more disciplined promotional cadence in our DTC channels. Our SG&A expenses at $144.3 million were higher than our guidance by $4 million. This was due to higher non-recurring charges associated with the closure of our Italy manufacturing facility which had not been included in our prior guidance, and higher incentive compensation. Total non-recurring charges in the second quarter were $8.4 million, $7.1 million related to the termination of manufacturing operations in Mexico and Italy, and the remaining $1.3 million was associated with our SG&A reduction plan. This compares to $1.8 million of non-recurring charges in last year’s second quarter. If we deduct the one-time charges, our SG&A actually declined $2.7 million and improved by 290 basis points as a percentage of revenue. Our income from operations, which includes our non-recurring charges, was $37.1 million, an increase of 25.9% over last year’s second quarter. Net income attributable to common stockholders after preferred share dividends equivalents of $4 million was $38.4 million. After adjusting for the preferred share participation rights of $5.1 million, adjusted net income available to common stockholders came to 25.3% million. Our diluted EPS attributable to common stockholders was $0.35, a 75% increase from $0.20 in the last year’s second quarter. Turning to the balance sheet, we ended the quarter with $171.5 million in cash and no outstanding borrowings on our credit facility. This compares to $157 million in cash and no outstanding borrowings at the end of Q2 2017. During Q2, we repurchased approximately 378,000 shares of our common stock for approximately $6 million at an average price per share of $15.55. And over the 12-month period ending June 30, we repurchased approximately 6.1 million shares for approximately $66 million at an average price of $10.86 per share. This leaves approximately $193 million available for future repurchases. Inventory at the end of the second quarter was $129.9 million, a $25.8 million or 16.6% decrease, compared to last year's second quarter ending inventory. This reduction reflects our continued focus on improving the quality of our revenues, as well as our lower store count. Cash provided by operating activities during the six months ended the June 30, 2018 was $48.9 million, an improvement of 3.8%, compared to the same period last year. Before providing our guidance for Q3 and the full year, I want to remind you that our guidance is on an as reported basis based on current currency rates. For the third quarter of 2018, we expect revenues of $240 million to $250 million, compared to $243.3 million in last year's third quarter. This includes the loss of approximately $15 million of revenue associated with our reduced store count and business model changes. Gross margin for the third quarter is expected to be about 50 basis points above last year's 50.8% rate. Our third quarter SG&A is expected to be slightly higher than last year's $120.8 million, this includes the approximately $6 million of nonrecurring charges consisting of approximately $5 million relating to the closure of our manufacturing operations, and $1 million associated with our SG&A reduction plan. Non-recurring charges in last year’s third quarter were 3.6 million. Let me now turn to our full year guidance. With respect to revenues, we continue to expect a low-single-digit increase. We are maintaining this guidance despite the strengthening of the U.S. dollar since our last earnings call, which we estimate will reduce our sales in the back half of the year by approximately $11 million as compared to our prior guidance. Double digit e-commerce growth and moderate wholesale growth are expected to more than offset the lower retail revenues associated with store closures. Store closures and business model changes will reduce 2018 revenues by approximately $60 million, compared to 2017. Absent those changes we would expect revenues to be up high-single-digits for the year. We continue to expect our gross margin to increase 70 basis points to 100 basis points over last year's 50.5% rate. SG&A for the full year is now expected be slightly higher than our prior guidance of $485 million, reflecting an approximately $3 million increase in nonrecurring charges to support the closure of our Italy manufacturing facility. This compares to our 2017 SG&A of $499.9 million. For the full year, we now anticipate incurring approximately $18 million of nonrecurring charges compared to our prior guidance of $15 million. Approximately $14 million of this amount relates to the closure of our manufacturing operations and $4 million relates to the implementation of our SG&A reduction plan. After adjusting for the non-recurring charges and the currency impact, our full year 2000 [sic] SG&A reduction would be approximately $45 million, against our SG&A reduction goal of $75 million to $85 million. We are maintaining our guidance with respect to income from operations at approximately $50 million, compared to $17.3 million last year. And we are maintaining adjusted EBITDA guidance at approximately $95 million, compared to $67 million last year. We define the adjusted EBITDA as income from operations plus depreciation and amortization, and non-recurring charges. 2018 adjusted EBITDA is expected to include approximately $30 million of depreciation and amortization, and $18 million of nonrecurring charges. 2018 income tax expense is still expected be approximately $17 million, compared to $7.9 million in 2017. Looking beyond 2018, we see a clear path to double-digit EBIT margins, which based on current level of depreciation and amortization, would translate into a 13% adjusted EBITDA margin. The strengthening of our brand, our relentless focus on operational improvements and our commitment to drive profitable top line growth is how we will get there. At this time I'll turn the call back over to Andrew for his final thoughts.
Andrew Reese: Thank you, Carrie. We had a very good second quarter, bringing the first half of our year to a successful close. I want to express my thanks to everyone on the Crocs team. We wouldn't be making this progress without their hard work and continued dedication. The success of our Spring/Summer 2018 validated, that there is growing demand for clogs and sandals. And with LiteRide, we are successfully meeting the consumers’ desires for product incorporating comfort technology. Our COME AS YOU ARE marketing campaign is driving brand perception and consideration higher, and contributing to revenue growth. And our strategic priorities provide the roadmap for the future growth in shareholder value. As we continue delivering the product, our customers and consumers want, simplifying our business and delivering strong financial results. Operator, please open the call to questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And our first question comes from Erinn Murphy from Piper Jaffray. Please go ahead.
Erinn Murphy: Great, thanks. Good morning. I guess my first question was around LiteRide, you talked about it, consistently exceeding your expectations. May be you could share a little bit more about, what kind of customers it's attracting and then, since it’s been one of your larger launches that you’ve done in the last few years, how have the learnings of this launch really shaped, how you’re thinking about the product development calendar, and just the launch cadence going forward?
Andrew Reese: Thank you, Erinn. Yes, so look, we're really pleased with the LiteRide launch this year, I think we talked about it last quarter and this quarter and the momentum has continued. In terms of learnings, I think this is the first time, and we talked about it last quarter, it's the first time for a number of years we've really put together a comprehensive launch, globally coordinated, supported by appropriate marketing and coordinating through both our wholesale and DTC channels. And I think that was extremely successful in creating a great deal of interest and a great deal of momentum behind the product. It was also a relatively large suite of product that we launched at the same time, so it really created an impact in the marketplace. And we think the U.S. piece or the unique features of the product, the high comfort, the lightweight, et cetera, really resonated with consumers. So it's been very successful. I think there are a lot of really good learnings for – from that. And I think, as we look into 2019 and beyond, we will be looking at other key launches to anniversary this and build up on this. I would also emphasize, as we plan LiteRide forward, we see it growing. This is not a onetime deal for us it's a suite of products that's really resonated with consumers. We see it growing in the fall and we see it growing into next year.
Erinn Murphy: Okay, that’s helpful. And then, I think Andrew you had said, in the beginning of your prepared remarks, you're starting to see some interest from potential new customers on the wholesale side. Can you just expand upon that statement, and then just are specific characteristics of types of accounts you'd be willing to work with? New accounts that is.
Andrew Reese: Yes. I think the resurgence of the brand and the higher profile that we're getting really globally both at the consumer level and also at the wholesale customer level is driving some new customers our way. What I would say is in the U.S. we're, I don't want to really get into kind of specific names, we're working closely with some significant mall-based retailers, where we've got some test programs and we look to drive some expansion on those in the back half of this year, into next year as well as big- box retailers here in the U.S. where we think we've got new placement and significant growth in placement opportunities. And as we look across the world, we also talked about ABC-MART as an example in our prepared remarks, we look across both Europe and Asia we can see interest from significant family channel players. So I would say it's kind of a global phenomenon and it gives us, obviously, a great deal of confidence.
Erinn Murphy: Okay, and you said some retailers here in the U.S. this fall, would that be already embedded in the guidance?
Andrew Reese: Yes, absolutely, that's embedded in our current guidance.
Erinn Murphy: And them just a last question for me and I'll turn it over. I didn't hear you guys mention anything on the work opportunity as well as Jibbitz? Can you just talk about how both of those categories performed in the quarter? And kind of how you see the longer term opportunity for both of them?
Andrew Reese: Yes, let me talk about work because it's obviously bigger in terms of its quantum than Jibbitz. So work, I think we've highlighted, consistent with our clog focus, work is primarily our clogs silhouette, obviously with a nonslip outsole for the work environment. That continues to perform extremely well. It's definitely tracking at or ahead of our expectations. We see that category as growing, it's more in the U.S. and Europe and Japan in terms of locations. It's less in the developing world, but that's definitely growing for us, we're happy with its progress and it's where we will continue to put marketing effort and product innovation behind that. Jibbitz, obviously this is a brand that's existed within Crocs for some period of time, that's really benefiting from a significant trend towards personalization. I think you can see it across many product categories where the consumer is increasingly interested in personalizing and making the product something that's special for them and Jibbitz is our vehicle to do that. So particularly within our U.S. stores, within our e-commerce environment, that has made great progress. So we're seeing significant growth there but obviously, it's a small but very high margin business.
Erinn Murphy: Thank you.
Operator: Our next question comes from Mitch Kummetz from Pivotal Research please go ahead.
Mitch Kummetz: Yes, thanks for taking my questions, and Carrie thanks to you good luck. So let me start. Just a follow-up on Erinn's question about new customers. So it sounds like that's already having some impact on the business but it sounds like you're expanding that into the back half than maybe more so next year. Is that an accurate assessment that this becomes more impactful on a go forward basis versus kind of the results that you've reported for the first half?
Andrew Rees: Yes, Mitch, I think – this is Andrew this is a good way of thinking about that. Obviously, most significant retailers these days will take a trial and expand approach and I think we're in trial mode with a number of new customers that we're excited about. And the potential that would come from that with expansion would be more in 2019 than in 2018.
Mitch Kummetz: Okay. And then Carrie, I think, you talked about, it sounds like there were some orders that were sort of pushed out in the Americas from Q2 to Q3 and there were some others that were pulled forward in Europe from Q3 to Q2. Is there any way to quantify that? Or do those sort of net against each other? How do we think about the impact on the quarter and then also in the third quarter?
Carrie Teffner: Yes I think it’s a fair way to look at as they relatively offset each other. Not huge dollars but enough to make a difference in the quarter. And hence, the reason we felt it was important to call out, especially as we think about the North America performance. And so maybe I would comment a little bit on the wholesale performance in North America just to give it a little bit more color. As noted in the prepared remarks, overall wholesale has performed extremely well in the quarter, but in the America specifically had a couple of things going on. In North America, we did have a late start to the spring and I think you've heard that from other folks as well. But what we did see with that is once we got shipping sandals we saw really strong sell-through, so we feel really good about that and then we did have that timing shift at the end of the quarter, that kind of moved, shifted from Q2 into Q3. I think the other important thing that really call out is with respect to Latin America. And we've had significant currency depreciation in a number of Latin American countries. And then the economic disruption that is kind of been caused by that. So if we think about the first half for wholesale in North America, we're up in North America low single digits but in LATAM we're down at double digits. So that I think is important to understand and that currency impact is something that I think I want to make sure everyone understands as we think about our full year guidance, we're calling revenues up low single digits, that's consistent with what we called at, at the end of Q1 when we provided guidance. But the U.S. dollars strengthen meaningfully against a number of other currencies since then. And so we're losing approximately $11 plus million of revenue in the back half of the year related to – as compared to the guidance that we provided at the end of Q1. And we feel really good about our retail and DTC performance and have factored that and to offset that revenue decline in the back half associated with currency. I think the other thing that's important to call out around currency is, in the first half we have benefited year-over-year from currency. In the back half, it's a drag for us year-over-year. So I don't want that to get lost, especially given that more than half of our revenue does come from outside the United States.
Mitch Kummetz: Got it. And then, on the guidance, I think you're seeing moderate wholesale growth for the year. You're up, I want to say like, 6%, 7% through the first half. I'm not really sure what your definition of moderate is, but are you assuming that the wholesale business is actually down in the back half? Or is that just a function of tougher competitors? Or is there something else going on?
Carrie Teffner: Yes, everything about wholesale in the back half of the year I would say, more so we've seen good, as you commented, good results in the first half. I think we see something similar like going through the Q3. I think we're a little bit softer in Q4, just because of the year-over-year compares. I think that will continue to evolve as we continue to work the order book.
Andrew Rees: Yes. Obviously the currency is, as Carrie talked about, the currency is – currency going against us for the back half of the year is a factor and we have maintained our revenue guidance despite that.
Mitch Kummetz: Okay great. Thanks good luck.
Operator: Our next question comes from Jonathan Komp from Baird. Please go ahead.
Jonathan Komp: Yes, hi. Thank you. A couple of questions. A little bit of a follow-up, but I just wanted to ask on the revenue outlook overall. I know on the underlying basis you've been tending kind of double-digit growth, and for the third quarter, you're implying something slower than that kind of mid- to high single digits underlying. And just wanted to maybe fully understand that – the moving pieces as you see them there?
Andrew Rees: Yes I think maybe I'll just kind of start and then hand it over to Carrie. Yes, you're absolutely right, Jonathan, if you look at the first half of the year and you exclude our store closures and our business model changes, across all channels we actually did achieve double-digit underlying growth. As we go into the back half of the year, Carrie can give you kind of a little bit more detail, but one of the big factors is still that currency.
Carrie Teffner: Yes. So specifically to Q3, if we think about the currency, adjusted the business model changes store closures, we're still at mid- to high single digits despite the currency headwind. And then, again as we go into Q4 as well, again, we'd be up mid-single digits excluding the business model changes and store closures in Q4. I think the other thing is important to think about with respect to Q4 is the business model and store closures have a much bigger impact because Q4 – excuse me, is a similar base so it does have a bigger impact.
Jonathan Komp: Okay great, that’s helpful. And then, maybe, specifically on the Americas segment in the wholesale business there, just wanted to follow-up and maybe clarify. I know last year Q3 and Q4 for the wholesale business in the Americas, you shipped essentially there or you sold essentially the same dollar amount in Q3 and Q4, which was pretty unusual historically. Q4 usually be in the much lower period. And I just wanted to ask is that more reflective of what you expect going forward? Or was that unique last year?
Andrew Reese: Yes, I think you're right. I mean – I think we definitely saw a significant pickup in the North American wholesale business last Q4. That was really the key issue, as we look forward, we think that pattern basically repeats. Yes.
Jonathan Komp: Okay, great, helpful. And then, maybe just last bigger picture question on the margin. I know you've been talking sometime now about a 13% adjusted EBITDA margin target and I was hoping to maybe clarify any kind of update thinking around the timing of what you think that might be achievable?
Carrie Teffner: Yes. I would say, we could have a clear line of sight to achieving that and I think as we get ready to provide 2019, we'll certainly provide more color on that. So stay tuned.
Jonathan Komp: Okay. I thought you might take the bait and setting the bar high for your replacement Carrie. Alright, thank you very much.
Operator: Our next question comes from Steve Marotta from CL King & Associates. Please go ahead.
Steve Marotta: Good morning Andrew and Carrie let me offer my congratulations, and thank you very much.
Andrew Reese: Thank you, Steve.
Steve Marotta: Carrie, I wanted to just clarify the $95 million in adjusted EBITDA estimated for fiscal 2018 excludes the onetime cost associated with SG&A. Is that accurate?
Carrie Teffner: That’s correct.
Steve Marotta: Okay, great. And as it relates, Andrew to the fall and winter assortment, in recent years instead of endeavoring to really delve deeply into fall and winter product, more heavier weight product, there's been some of that on the margin and I think the goal has been a little bit more to sell further into third quarter on a buy now wear now basis and deliver earlier into spring later in the fourth quarter into the warmer weather markets in order to even out the seasonality a little bit. Is that the same this year and in anticipation next year? Or do you see a little bit more heavier weight product becoming a larger percentage of the mix in the second half of the year?
Andrew Reese: Yes. I think – so I – we think the strategy that we applied last year it definitely worked. So essentially, we're planning to repeat that, which is exactly what you said. So it sounds longer into the third quarter, try and deliver in fourth quarter for some above warm weather markets. Outsell our clogs throughout the year, which I think have performed extremely well year-round. I think that the key product that we do offer in the fall/holiday, unique to fall holiday, which has been building over the last couple of years has been in our lined clogs, as we've cleaned up that line and as we presented it more clearly. So yes, it's clogs, sandals, lined clogs, and I also would note that as you kind of think about fall holiday or think about that season for the Crocs brand, right? So, we do a lot of business in portions of the world where there is no cooler weather, right? As you think about Southeast Asia, as you think about Asia so we have a lot of year-round business, and so tailoring our assortment to sort of northern hemisphere is less productive for us. I think that's something we've corrected and we continue down that path, Steve
Steve Marotta: Okay. I know Andrew also you are reticent to speak about quarter-to-dated trends and understandably, to the extent that you could speak broadly about back-to-school and what you have seen, again, broadly from an inventory and the channel standpoint, from the popularity of the Crocs product and clogs product and even perhaps the digital activity in the back-to-school period that might be helpful?
Andrew Rees: Yes I’ll mention a few things, Steve. So first is, as we kind of look at the overall environment, we feel pretty good about the consumer environment, the retailer environment, here in North America but also in a lot of other places around the world, we think the consumer is much more act to spend, interested in spending, can be enticed to do so. We think the vast majority of retailers that we do business with are in much better shape than they were last year. As we kind of think about back-to-school specifically, few things would come up, I think we mentioned in our prepared remarks, we are seeing a particular segment of the market, which is high school and college age students buying the clog, particularly the Classic clog for kind of preimposed sporting events. So that has been a really nice focus for us and has really driven and has really driven some significant business. So we see that continuing to back-to-school. And then we also launched a platform clog last week, which is a, obviously, a platform version of our Classic clog inspired by some collaborations we had last year and we're excited about that and it's put a potential to sell into that kind of younger consumers that's oriented around back-to-school. So yes, I think we got a little bit of kind of wind in our back from that perspective and we generally feel good about the retail environment.
Steve Marotta: Very helpful. Thank you.
Operator: Our next question comes from Jim Duffy from Stifel. Please go ahead.
Jim Duffy: Good morning everyone. Carrie, congratulations to you on a productive and successful leadership tenure.
Carrie Teffner: Thank you.
Jim Duffy: It occurs to me you're stepping down with fairly clear sight lines to the double-digit EBIT margins and low-teens EBITDA margins. I recognize this could fall into the category of front running Anna’s view, but with Andrew on the call, it seems fair game. The question is, how do you guys think about margin opportunities beyond this, is revenue the key lever for further improvement? Or can you take the SG&A rate lower? How much is left in the gross margin? Thoughts there would be helpful.
Andrew Rees: Yes may be I’ll start Jim and then Carrie can add a little color. Yes, I think you actually framed the question well which is, as we think about our architecture that gets us to double-digit EBIT margins, it's really been around getting our SG&A down, getting the call to the revenues up and our gross margin up and getting us to a point where we can achieve that with modest revenue growth. As we then start to accelerate our revenue growth, it will provide leverage, a lot of our SG&A will see leverage from revenue growth, particularly in the wholesale business and obviously if we can drive some retail comps, which we now have for I think four quarters in a row, you get leverage that way. So we do see it going a little bit lower as you get revenue growth but that would be the primary leverage.
Carrie Teffner: Yes, I think the only thing I'd add is getting SG&A in the low 40s is the first step.
Andrew Rees: Yes.
Carrie Teffner: Achieving double-digit EBIT margin and then it's really I think what we've driven in the organization and will continue is the continued focus on operational improvement. And we still have opportunities to continue to drive improvement in the business as well as benefit from the leverage as we grow the top line.
Jim Duffy: Great. That’s good segway. In my next line of question, from an optick standpoint, compares begin to get more difficult. You've talked about wholesale distribution expansion opportunities which is encouraging. Can you speak for a moment about opportunities to build on the positive comps and continue to improve retail productivity? And also, maybe touch on some of the progress you're having with analytics and opportunities to leverage that for further digital growth?
Andrew Rees: Yes, I mean, so in terms of, let me sort of break that down a little bit. So we talk about retail, yes, obviously, we're going to start to come up against our positive comp trajectory. We – as the fleet has rationalized and as we've closed our more unproductive stores as we've repositioned the whole retail fleet to be majority outlet stores on a global basis, we remain confident that we can continue to comp on our compare numbers because I think we have the product, the built for outlet product, we have a much greater focus on driving and managing that outlook business specifically and we feel really confident that we can provide ongoing comps in that environment. As you said from a digital perspective, we've obviously achieved double-digit – strong double-digit digital growth for a good number of quarters now. We see that continue as the consumer frankly continues to migrate to that environment, particularly in Asia where we see digital commerce really replacing or in some developing markets, preventing the growth of traditional retail. It's really skipping in a significant way. We see that as a strong revenue driver for us and one where as a brand, as a company we're focused. And I think you also referenced the digital marketing efforts where we've put in place new technologies that allow us to target our marketing efforts, to personalize our messaging and we're seeing very dramatic increases in terms of 50%, I think we mentioned in our prepared remarks, increases in our productivity from that. And I would say that's in its infancy today, so we see that continuing.
Carrie Teffner: I think the only thing I would add to the retail comp comment that Andrew made is that we innovate with product, we're also – allows us to bring product to the market at higher price points, right? So that will help, LiteRide it's a great example of that. And as Andrew indicated earlier, we're going to continue to innovate and look for comfort stories that add unique selling propositions that are worth more to the consumer.
Sam Poser: Great, thanks for that.
Andrew Reese: Thanks Sam.
Carrie Teffner: Thank you.
Operator: Our next question comes from Jim Chartier from Monness, Crespi and Hardt. Please go ahead.
Jim Chartier: Good morning, thanks for taking my questions. First, Andrew, you talked about great returns on advertising. What's the opportunity to continue to grow the ad spend? And if you could talk about that maybe by region? And then in terms of the new potential new distribution, how do you manage the product segmentation by channel going forward as you add new distribution? Thanks.
Andrew Reese: Yes. So even as we've – let me deal with deal with ad spend first, so even as we have reduced our SG&A and plan to reduce our SG&A to next year, we have also increased our total investment in marketing. And also skewed more and more of that spend to what we call working dollar. So less on SG&A headcount and agency fees and more on driving digital and social media. So our increases in terms of dollar spend impacting the consumer have grown over the last several years and that has been an important factor in driving I think the resurgence of the brand. We intend to continue to do that.
Carrie Teffner: Yes, and then I'll just add to that on the analytics. I think as we've shifted to digital social, obviously the trends are information and our ability to use that information and make our targeted ad more effective is something that Andrew called out in his prepared remarks in terms of return on ad spending up 50%. We think there's still opportunity there as we continue to hall in and get better at this.
Andrew Reese: And then you also kind of reference by market but one of the beauties all the social digital oriented architecture is it's very scalable and applicable by market. We don't break that out what that spend looks like by market, but it does allow us to take our message from the U.S. to Europe to Asia and that sales have been really effective. And we probably see the strongest growth in our spend more oriented towards our Asian markets in the future. In terms of product segmentation, I think that's been a – we've gone through a – an arc year where we've really rationalized product and stabilized our product development engine and now we're – with the introduction of LiteRide and a lot of new product we've brought to market in the last two years. We're getting more and more sophisticated around product segmentation with different lines associated with our outlet, different lines and unique lines on our e-commerce and also being able to differentiate and SMU across some of our key wholesale partners. So we see that as highly productive going forward and we'll do more of it going forward and it allows us to provide more differentiation. I would say there is a core of our business, particularly kind of Classic and Crocband, which is like many other brands that have a core unique franchise like that that does show up in every channel. So that will to show up in all of our key channels plus there will be differentiation around it.
Jim Chartier: Great and then you've previously talked about still a big opportunity to grow the business with an existing distribution. So how has the – I guess the demand of shelf space you have your existing wholesale customers changed versus last year? And then how much opportunity is there is still going forward within the current distribution?
Andrew Rees: I would say we have definitely seen growth in shelf space in aggregate. There are sort of key partners that we've grown really rapidly with in terms of shelf space. And others, we have kind of stood still with, there haven't been as sort of forward thinking in our view. But I think that remains, as you look at the kind of particularly the developed markets, the U.S. market place, we have a lot of distribution and our biggest growth driver is going to be growing representation in that distribution as well as adding select key accounts. So that is still a very important driver. I think we've made good progress but we want to make more progress in the future.
Jim Chartier: Great. Thanks and best of luck.
Andrew Rees: Thanks Jim.
Operator: Our next question comes from Sam Poser from Susquehanna. Please go ahead.
Sam Poser: Good morning. Thanks for taking my questions. Congratulations Carrie. A few things. Just details on the domestic expectation for domestic or Americas wholesale growth for the back half of the year or by quarter? You explained it sort of conceptually but can you give us some direction there as to sort of what's built in?
Carrie Teffner: Yes. I guess what I would – with respect to North America wholesales, Sam we don't guide specifically by region.
Sam Poser: Americas, Americas.
Carrie Teffner: No, but we don't guide specifically by regions – for any other regions so I think there is a way we've factored in our forecast for America's into our overall guidance for the rest of the year. And then it is incorporated in and what we do feel good about our overall performance in the Americas. It is going to be muted by LATAM, given the currency headwind.
Andrew Rees: Yes. And that is factored into our guidance.
Sam Poser: Okay. And then you’re down to 398 stores now. Are there more store closures either within the guidance or planned may be for next year? Or are we at the level now – where are we there?
Andrew Rees: What we would say Sam is there are more store closures in the guidance and plan next year. We have completed the plan that we architected and announced and regard that is completed. Go forward closures and openings will be kind of normal close of business as we assess the fleet and each store as it comes up for lease, whether we want to continue to operate that store, relocate it, open another one but as we look at the guidance for the back half of the year and our preliminary view on 2019, that will be modest net closings.
Sam Poser: So what becomes sort of the optimum – by the end of I know you guided 2019 but what should we think of store base by the end of 2019? Is it like $380 million or $350 million?
Andrew Rees: Yes I would say kind of modestly down on what it is today.
Carrie Teffner: Yes I think that’s reasonable Sam.
Andrew Rees: That’s the right way to think about it.
Sam Poser: Okay. And then your – are you going to be involved with singles there or are you not involved with that at all. You have talked, I believe, not being involved. Is that something that you're going to be – are you going to be involved with that this year?
Andrew Rees: No. Absolutely. I think we talked about nothing involved in the single state. If you look at sort of what I would describe as a sort of major festivals or major digital events on a global basis, mid-summer festivals, single's day, 2012 and even prime day obviously we just had here in the U.S. and Europe and other Amazon countries, those are really, really important to be involved in. What we have looked at is the profitability of those events and how do you transact on those particular events such that you can actually make money. We do believe and as we look, we've seen an erosion in our profitability associated with those events over the last couple of years. We see that in competitive brands and we're looking at a strategy that will maximize the profitability of those events not just the revenue.
Sam Poser: Okay. And then you talked – I mean I guess my last question is, how do you get to – I mean what should we think about sort of a base revenue growth now that the store closures are sort of you'll make his normal decisions and so, can – are you looking at mid-single-digit revenue growth over the next few years to get to – what is the number you're using to get to your margin targets?
Carrie Teffner: I think the way I would answer that without giving guidance on 2019 and beyond is at this point Sam is really if you look at our underlying performance in 2017 and in 2018 adjusting for the store closures and business model change, which impacted both years by about $60 million. We've seen moderate to high single digit underlying growth. As we move into 209, we still have a bit of headwind related to store closures that are for the partial year impact as it goes into 2019. But again, we feel good about that underlying growth and that's really driven by the fact that the clogs and the sandal focus is extremely beneficial to our business. It's core to our DNA. We've had many quarters of double-digit sandal growth and we feel like that's something we can look at that continued growth going forward as well clogs, it's a growing category, we're taking share so we think the underlying growth of this business is absolutely solid.
Andrew Reese: Yes. I think – I know that is a key question for many and some are skeptical about that but as you look at the track record, we've got two years of producing underlying growth and I think we have the emanation from a product to marketing perspective to continue that into the future.
Sam Poser: And I promise that was the last one but one more. You talked about your adjusted EBITDA but you didn't – why not just give everybody a non-GAAP reconciliation on the earnings? Because next year a lot of these charges fall away and then you're going to have bad compares unless we take them out this year and so on. So why not just provide non-GAAP reconciliation, especially when you're talking about basically a non-GAAP EBITDA as part of it.
Carrie Teffner: I know you've talked about this before, Sam, I think what's important is we're explicit about the elements that actually do makeup our guidance and then I think the other element is it's really important is that we meet or exceed the guidance that we give. So I think all the pieces are there for how people look at it and that's what's critical.
Sam Poser: But I mean you raised your underlying EBIT guidance by $3 million because that should goes from your $50 million operating margin target now goes to – was it $65 million because of the onetime charges, now it goes to $68 million because of the charges have gone up. I mean it's just you're talking both ways, why not just give it one when you start talking about adjusted EBITDA?
Carrie Teffner: I would say Sam, this is probably something we're not going to agree on. So I think that's really probably have to leave it.
Sam Poser: Thank you again, congratulations.
Andrew Reese: Thank you.
Carrie Teffner: Thank you.
Operator: And we do have a follow-up question from Steven Marotta from CL King and Associates please go ahead.
Steve Marotta: Carrie, very quick question on maybe it's topical non-GAAP taxes for the quarter. Just a housekeeping standpoint, I know that it was $3 million on the GAAP basis. What would it have been when you exclude those items? On a dollar basis?
Carrie Teffner: On an adjusted – I have no idea off of top my head.
Steve Marotta: Okay.
Carrie Teffner: I think it is extremely – it is lower where it normally would just because we had the releases and valuation allowances and you will see that commentary on the cute little commode latter this morning. But there is nothing overly unusual in that number. So we don't look at the tax on adjusted versus non-adjusted.
Steve Marotta: No, problem. Thank you very much.
Carrie Teffner: Yes, okay. Thank you.
Andrew Reese: Great. Well, thank you very much everybody for joining us today and for your continued interest in Crocs. We appreciate it.
Operator: Thank you, ladies and gentlemen. This concludes today's conference. Thank you for participating. And you may now disconnect.